Operator: Good morning, and welcome to the eMagin Corporation's Fourth Quarter and Full Year 2019 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions]. After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Mark Koch, Acting CFO. Please go ahead.
Mark Koch: Good morning, everyone. We're very glad to have you join us today for our fourth quarter 2019 earnings conference call. During today's call, we may make forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on the company's current expectations, projections and beliefs; and are subject to a number of risks and uncertainties. Such statements may include references to projections of future revenues, plans for product development and production, the company's ability to ramp up production, the company's ability to reduce its cost structure, future contracts and agreements, product benefits, operations, future financing, liquidity and capital resources; as well as statements containing words like believe, expect, plan, target, et cetera. You should not place undue reliance on these forward-looking statements because they involve known and unknown risks, uncertainties and other factors that are in some cases beyond our control. Please refer to our earnings release for the fourth quarter of 2019 and the company's filings with the Securities and Exchange Commission for information concerning factors that could cause actual results to differ materially from those expressed or implied by such statements. We undertake no obligation to update or revise any forward-looking statements to reflect future events or circumstances. During this call, we will also refer to adjusted EBITDA, a non-GAAP financial measure, to provide additional information to investors. A reconciliation of adjusted EBITDA to net income, which is the most directly comparable GAAP financial measure, is provided in the press release that we issued this morning. Non-GAAP financial measures such as adjusted EBITDA are not meant to be considered in isolation or as a substitute for our GAAP financial measures and financial statements. With that, I would like to turn the call over to our CEO, Andrew Sculley.
Andrew Sculley: Thank you, Mark, and good morning, everyone. Thanks for joining us on today’s call. In the fourth quarter of 2019, we continued to build on our third quarter accomplishments and successfully execute on recent initiatives to improve productivity, yield and financial performance. While we still have additional room for improvement, I’ll now discuss a few of the recent highlights. First, our fourth quarter 2019 gross margin was 36% compared to a loss in the same quarter last year. In addition, we reduced our operating loss from $4.2 million in the fourth quarter of 2018 to $100,000 in the fourth quarter of 2019. We were essentially breakeven on a per share basis compared to a loss of $0.05 per diluted share in the year ago quarter. Second, production volumes increased more than 50% in the second half of 2019. Third, our cost reduction efforts, which we started in the third quarter, resulted in a 21% decrease from full year 2018 and a 25% decrease from last year's fourth quarter. On an annualized basis, we have reduced operating expenses by $2.2 million. This improvement represents the benefits of several actions, which we have implemented, including identifying and resolving production issues through the collaboration of our R&D and manufacturing teams, enhancing our maintenance practices, retaining an engineer from our OLED deposition vendor to work with us in increasing throughput, and implementing cost reduction efforts to better position us for long-term success. From a demand perspective, total revenue in the fourth quarter was $7.3 million for an increase of 35% from the prior year quarter and our product revenues this quarter were $6.8 million. Additionally, our contract revenue more than doubled as we began work on planned improvements to the F-35 display. Bookings for the quarter were a record for the company, exceeding $15 million which in turn boosted our backlog at year-end to $14.6 million, including $11.7 million scheduled for delivery through December of 2020. Included in the bookings and backlog are two very large orders, which we announced in December. The first is for approximately $4.3 million from a prime contractor for displays with the U.S. Army's Enhanced Night Vision Goggle – Binocular program. The U.S. Army's acquisition objective is estimated to be over 108,000 systems and eMagin is the sole display supplier for this multiyear program. This is a terrific endorsement of the strength of our technology which is reinforced by the positive feedback we have received from military personnel. The second order was also from a major defense contractor for approximately $5.6 million. We have a strategic and longstanding relationship with this customer and began shipping displays in the fourth quarter, which will continue through December of 2020. We also received an order from Collins Aerospace for approximately $1.4 million. This order for microdisplays will support the delivery of F-35 Helmet Mounted Displays supplied by Collins Elbit Vision Systems and extends our deliveries through the third quarter of 2020. In the fourth quarter, we received 80 orders, three of which were from new customers. We also supplied product for 23 new programs. In addition, we started a new consumer-related development project for a next generation display. We also received two new orders from existing medical customers. Now turning to the improvements we have made in our technology. Our direct patterning equipment has been upgraded and returned to us. We expect this upgrade will significantly increase the throughput and yield of our direct patterning process and improve the performance of the displays. We will be testing this equipment and expect to begin shipping engineering samples in the third quarter of 2020. In the fourth quarter, we developed a significantly better full color display by improving our OLED stack architecture. It is two times brighter with a 3X improvement in lifetime compared to our OLED-XLS display. We believe this display of the OLED XLE, which is expected to be qualified as a product in 2020, will demonstrate the best combination of high brightness, lifetime and power efficiency available today in full color OLED microdisplays using white with color filter technology. Finally, we remain on target to achieve 10,000 nits full color brightness for our direct patterned displays in the third quarter. As we have previously mentioned, the U.S. military has requested 25,000 nits full color brightness. We anticipate reaching this level of brightness within three years and are pursuing funding to help support this effort. With that, I’ll turn the call over to Mark for a more complete financial review. Mark?
Mark Koch: Thanks, Andrew. From a financial perspective, we clearly enjoyed a much stronger second half of the fiscal year in 2019 than first half reflecting improved demand trends combined with companywide productivity initiatives. In particular, second half revenue of 15.2 million represented nearly 33% increase compared to first half revenue of 11.4 million. In addition, combined with improvement in throughput and yield, our gross profit increased more than threefold to 5.2 million in the second half of 2019. Our second half non-GAAP adjusted EBITDA was positive 0.8 million compared to first half adjusted EBITDA of negative 3.7 million. With that as the backdrop, let me now discuss fourth quarter and fiscal 2019 results. Revenues for the fourth quarter of 2019 were 7.3 million, an increase of 35% or 1.9 million from revenues of 5.4 million reported in the fourth quarter of 2018 and a slight decrease of 0.6 million from the third quarter of 2019. Product revenues for the fourth quarter of 2019 were 6.8 million, an increase of 31% or 1.6 million from product revenues of 5.2 million reported in the prior year period and a slight decrease of 0.5 million compared to the third quarter of 2019. As far as the components of revenue, the year-over-year fourth quarter increase in product revenue was due primarily to growth in display revenues from customer demand coupled with higher production volumes as a result of increases in throughput and manufacturing yields. Contract revenues were 0.5 million compared to 0.2 million reported in the prior year period due to multiple projects in the recent quarter, including a planned F-35 display improvement. On an annual basis, revenues for 2019 were 26.7 million, up 2% from 26.2 million in 2018. Revenues in the first half of 2019 were impacted by production issues that were resolved beginning in the third quarter of 2019. Product revenues for the full year totaled 24.6 million, representing a 5% increase from 23.3 million in 2018 due primarily to customer demand coupled with increase in throughput and manufacturing yields in the back half of the year. R&D contract revenues totaled approximately 2.1 million as compared to 2.9 million in 2018. The decrease in R&D contract revenue was mainly the result of the position of several commercial and U.S. government R&D contracts in 2018. Gross margin for the fourth quarter was 36% on gross profit of 2.7 million compared to a gross loss of 0.5 million in the prior year period. The higher gross profit in the quarter is due to higher product revenues compared to the year ago quarter when there were production challenges as well as the impact on cost of goods sold of a 20% reduction in senior management compensation and other costs saving measures implemented in October 2019. Gross margin for full year 2019 was 25% compared to 15% in 2018. The gross margin for 2018 included an impairment charge of 2.7 million related to the consumer night vision business. Excluding the impairment charge, the total 2018 gross margin would have been 25%. Now moving to expenses. Operating expenses for the fourth quarter of 2019, including R&D expenses, were 2.8 million as compared to 3.7 million reported in the prior year period. Operating expenses as a percentage of sales were 38% in the fourth quarter of 2019 compared to 69% reported in the prior year period. This decline year-over-year in the fourth quarter reflected several items; lower R&D expenses, primarily due to a reduction in internal activity as we focused on production and yield improvements; a decline in SG&A expenses compared to the year ago period due to lower spending on professional services, legal fees and lower travel and other discretionary expenses; and in addition both SG&A and R&D expenses in the fourth quarter reflected the impact of a 20% reduction in senior management compensation and other cost-saving measures that began in October of 2019. Operating expenses for full year 2019, including R&D expenses, were 12.3 million compared to 15.7 million in 2018. The majority of the decrease was due to lower R&D expenses for the company-funded work related to the company's direct patterning technology product and process development and resources expended on improving manufacturing processes. During 2018, there was higher spending on professional services related to contract negotiations with prospective consumer electronics and manufacturing partners. On both an operating and a per share basis, our losses were reduced both on the fourth quarter year-over-year and annual basis. Operating loss for the fourth quarter of 2019 with 0.1 million compared to an operating loss of 4.2 million in the prior year period. Net loss for the fourth quarter of 2019 was 0.2 million or essentially breakeven on a per share basis compared to a loss of 2.4 million or 0.5 per share in the prior year period. The 2018 fourth quarter net loss benefited from a 1.8 million change in the fair value of a warrant liability which is immaterial in the 2019 fourth quarter. Operating loss for the full year of 2019 was 5.6 million versus 11.7 million in 2018. Net loss for the full year of 2019 was 4.3 million or 0.09 per diluted share. This compares to a net loss of 9.5 million or 0.21 per diluted share in 2018. Our non-GAAP adjusted EBITDA in the fourth quarter was a positive 0.5 million compared to a negative 3.6 million in the prior year period. This was a slight improvement over adjusted EBITDA of 0.3 million in the third quarter of 2019. For the full year, non-GAAP adjusted EBITDA was negative 3.1 million compared to negative 9.2 million in 2018. As of December 31, 2019, the company had cash and cash equivalents of 3.5 million, working capital of 8.8 million and borrowings and availability under the ABL facility of 2.9 million and 1.5 million, respectively. In addition, in November 2019, the company entered into an aftermarket sales agreement with H.C. Wainwright & Co. for the sale of common stock. Looking ahead, the actions we have taken over the past two quarters combined with our market presence position us well for future growth. We have expanded our presence in the military and aviation markets and continue to make inroads with commercial customers. We are continuing to work closely with the government to receive further funding for production enhancements and have an advantage of being the only U.S. manufacturer of OLED microdisplays. Due to compensation reductions and cost saving measures, we expect to reduce our annual expense structure by over $2 million. Finally, we have a very solid backlog entering 2020. As we mentioned in the release this morning, we expect Q1 of 2020 to have lower revenues in the comparable quarter in 2019 due to the timing of certain military orders. However, we expect stronger revenue in subsequent quarters and anticipate an overall increase in revenue from 2020. With that, I will turn the call back to the operator for Q&A.
Operator: We will now begin the question-and-answer session. [Operator Instructions]. The first question comes from Mike Malouf of Craig-Hallum. Please go ahead.
Mike Malouf: Yes. I just have a question on the consumer side.
Andrew Sculley: Sure, Mike.
Mike Malouf: You just said you have a new project on the consumer electronics side.
Andrew Sculley: Yes, we do.
Mike Malouf: I was just wondering if you could give us a little bit more color on that and how that fits in with some of the other things we’re doing on the consumer side.
Andrew Sculley: Well, you can imagine it is an AR/VR type display and it’s one that doesn't exist today. The reason that we are attractive to consumer companies is because of the direct patterning technology which gives a display with the pixel size of our microdisplays with a very bright capability, and that's why the consumer companies come to us. We’ve again done vetting with, like we have in the past with consumer companies and they are interested in the technology. And we kicked off a design in very late December last year. It is a Tier 1 company.
Mike Malouf: Yes, that’s great. And then would you expect this product if it ever makes it to the market to be more AR or more VR?
Andrew Sculley: I don't want to say that, because I don’t want to give any more information than I should from the consumer company. They’re all very secretive. But the other thing to think about is it's much – on the manufacturing side, they are very interested in having this go to manufacturing and working with us to do it. And it’s very much easier to go hand-in-hand with a consumer company to a manufacturing partner than it is on our own.
Mike Malouf: So you’re basically putting together prototypes then? Is that sort of the plan?
Andrew Sculley: Yes, we are.
Mike Malouf: Okay. And then what about your other initiatives in the sector, anything to update us on there?
Andrew Sculley: So we do need to do a little work on direct patterning for it, because as you know, the tool just came back a number of weeks ago and we need to direct pattern a number of displays. Some are interesting obviously for the consumer market.
Mike Malouf: Yes. Okay.
Andrew Sculley: Like the 4K.
Mike Malouf: Yes. And then as you sort of talk about 2020’s numbers, obviously down in the first quarter. I’m wondering if you can just talk a little bit more about that. That’s a little bit more unexpected as far as the volatility in the numbers go. Was that a surprise to you? And then as you look out into 2020, you have a lot of orders coming in and you said it was up year-over-year, but can you give us just a sense? Are you thinking double-digit up or are you thinking single-digit up?
Andrew Sculley: Well, we will not give guidance and I apologize. But on the first quarter, the quarter’s depending – you know that first quarter is seasonally usually lower. And the thing is that the programs that we’re on, like ENVG-B or other programs that we’re working on, they are softer in the first quarter due to things like qualification.
Mike Malouf: Got it. Okay, all right. Thanks for taking my questions.
Andrew Sculley: So just think – one other thing I’ll mention is think about the orders for first quarter are in the second, third, fourth that have been delayed. So we’re still very interested in the year obviously.
Mike Malouf: Sure. Okay. Thanks a lot.
Andrew Sculley: You’re welcome.
Operator: [Operator Instructions]. The next question comes from Kevin Dede of H.C. Wainwright. Please go ahead.
Kevin Dede: Good morning, Andrew. Thanks for taking my questions.
Andrew Sculley: No problem. How are you?
Kevin Dede: I’m great. Thanks. Could you dig into the ENVG a little bit? Do you expect it to go beyond 2020? Can you just sort of characterize the length of these contracts that you normally see?
Andrew Sculley: Well, ENVG-B, remember the Army’s objective is to acquire 180 – I’m sorry, 108,000 systems. So that’s going to go well beyond this year. And normally it’s a number of years that it would go on in production and then they’ll be obviously a tail end for things [indiscernible] et cetera for sustainment.
Kevin Dede: Okay. And then can you peel the onion back a little on that second major defense contract order you got for 5.6 million? Clearly, you didn’t want to label it. I’m just wondering – and you did talk about display shipping through the end of this year. I’m just wondering if you’d expect to see the same type of length in that contract.
Andrew Sculley: Well, that one is a very close customer of ours and it’s for a large number of systems and that particular one is not in the U.S.
Kevin Dede: Okay. I guess do you think it continues beyond this year or what’s the way to think about that?
Andrew Sculley: Well, certainly things – programs like ENVG-B, et cetera, et cetera, the F-35 will extend beyond this year. I can’t tell you whether that particular program is going to extend beyond this year. They’re trying to finish something up in a hurry, so that’s good for us.
Kevin Dede: Okay. All right. So now when we look at the F-35, you mentioned seeing I guess some sort of conversion in the way that project’s been treated in the third quarter. I missed a little bit about what you meant? Does it go from development to full production at that point or is – how should we think about that?
Andrew Sculley: Okay. Let me back up a little bit. We said we have a project to do a redesign, not a full design of course because we’re adding some new features to the F-35 display and they’re quite unique and it’s something that we’re very happy to do. But the company also wants displays with the prior design. So those displays – so that new contract of $1.4 million, those are scheduled to deliver through the third quarter. And that isn’t to say that the new design – obviously we’ll be delivering displays for testing after that as well. And the new design will go into 2021 and beyond.
Kevin Dede: Okay. So the 1.4 contract, is that still prototype or is that actual placement in helmets?
Andrew Sculley: No, they are prototypes for testing. That is correct. Of course, they have to go in a helmet to test them, but --
Kevin Dede: Right. Okay. So at what point do you think you’ll actually go or do you think you might go into full production?
Andrew Sculley: Well, we will be shipping the new design obviously when it’s completed and I won’t tell you exactly when that is, but it’s this year, not so far off. And we’ll be shipping those displays for testing and then going into production some time in later 2021, I mean “full” production.
Kevin Dede: Okay. So you still expect the existing design to go to full production at some point in the future and then there’s – in parallel, there’s a new design.
Andrew Sculley: No, let me say that again. The new design will be the production design, but that will be done this year. So done, tested, then production.
Kevin Dede: Okay.
Andrew Sculley: Because the company is – the F-35 Helmet company does not want to miss this great improvement we’re putting in the helmet – we’re putting into the display, sorry.
Kevin Dede: Okay, all right. So the new design should be ready for them to test by the third quarter this year. Is that right?
Andrew Sculley: Yes, that’s reasonable.
Kevin Dede: Okay. Would you expect that prototype order to be a similar size as the 1.4 one that you got this time?
Andrew Sculley: Well, remember that we have been shipping displays for a while now. So it you could look back in time, the same thing is going to happen with this one until it goes into production.
Kevin Dede: Could you give us sort of a – do you think – can you give us a rough ballpark on the total amount F-35 prototype that you’ve been able to recognize so far?
Andrew Sculley: No. I don’t think I should do that. That’s probably under the NDA with the company we’re supplying.
Kevin Dede: Okay. I know Mike sort of worked on this a little bit with you, but could you dive in a little – with a little more detail on all the consumer projects that you have going? If we go back like two years ago, I know you were working – you’ve got a lot of development dollars. I’m kind of wondering, I don’t know, if that one’s completely stalled out. So what sort of finished last year and what do you see continuing this year aside from the new one that you’ve talked about early today?
Andrew Sculley: Just to update, you remember we did a development in licensing agreement in 2017. We did not and we cannot tell what company that was. So when that goes to production, it’s a licensing agreement, we will get revenue from that. We did a 4K display that we need to finish with the direct patterning on it. We did a little tweak to that display design and now we’re working on a new one. So there are three large significant ones and I’m skipping that 2016 we licensed the company for some optics patents.
Kevin Dede: Okay.
Andrew Sculley: Let me just – you can look on the Web and see some indication of when companies are going to come out with significant improvements in AR and VR and therein into the future and there’s still a lot of push to have this happen by companies that are very big and famous. I’m not saying that any one of those we’re working with, but you get what I mean.
Kevin Dede: Yes, I get what you mean. Thanks for that. Could you talk a little bit about the development with your manufacturing partner? I think, if I remember correctly, you had been negotiating with a few. I’m just kind of wondering how that works out. And whether or not any of these specific consumer deals would rely on one partner or multiple partners?
Andrew Sculley: Well, I think that it’s easier for – if I’m a consumer company, it would be easier for me to rely on one partner at first. And in this case it’s also easier – as I said to Mike that it’s easier for us to go hand-in-hand with a big company that wants to make this happen to a manufacturing partner and that is the plan.
Kevin Dede: Okay. Can you give us some color on how [indiscernible] negotiation?
Andrew Sculley: Well, I really can’t do that. I apologize.
Kevin Dede: Okay. All righty. Well, thanks for entertaining me, Andrew. I really appreciate it. Congratulations on the great quarter.
Andrew Sculley: Thank you, Kevin.
Mark Koch: Thank you.
Andrew Sculley: Thanks for your questions.
Operator: The next question comes from John Pearson [ph], a private investor. Please go ahead.
Unidentified Analyst: Hello, Andrew and Mark.
Andrew Sculley: Hi, John.
Unidentified Analyst: I was wondering if you could tell us a little bit more about the XLE display as far as is there a particular market driving that.
Andrew Sculley: Yes. Everybody in the world wants higher brightness and this one relies on our white with color filter technology, so it can be done today and the progress has been amazing. The R&D group, Amal Ghosh, who’s now our COO has done an outstanding job making this happen. Now we do have a little more work to bring it to a qualified product, which, as we said, will be this year. So it will replace eventually the XLS. As we said, it’s much better in terms of brightness; 2x in brightness, 3x in lifetime and this is something that military wants as well as commercial, industrial, medical.
Unidentified Analyst: Okay.
Andrew Sculley: Again, just to remind you, we can make this today.
Unidentified Analyst: Okay. What’s beyond your – in your military roadmap, what’s beyond the ENVG-B market? In particular, you had indicated that there might be a possibility of a two display per device ENVG-B kind of thing. Is that still a realistic option or any status on that?
Andrew Sculley: Well, certainly ENVG-B is very important to the military. 108,000 systems is a big deal. And again, we’re the sole supplier. So that’s still important. It will be linked to a gun site so that I don’t have to look through the gun site to see the thermal image, so that’s a very, very good thing. And by the way, just to take a step back, there’s a couple of things to think about here. One of them is that for the U.S. military and other militaries around the world, it’s very important the advantage night vision both amplified visible light as well as thermal radiation gives to the solider, very important and that’s why it’s so important for the U.S. military and other militaries to – you have one today, right, we had ENVG II, we were the sole supplier. ENVG III came along and then immediately ENVG-B, so that’s the new program. It’s very important to have this continued improvement so that we and our military stay ahead. And then the other question you have to ask is why do they choose eMagin for this? And it’s our technology. We’ve proven our technology to be military capable since the early 2000s and we’ve developed displays that have things that nobody else’s displays have, and I’ll give you some indication. For example, the newer displays have the ability to make adjustment over temperature range. In the military, it’s very important, cold temperature from minus 40 to plus 70, it’s got to operate. So that’s – our technology can do that. Also for things like very bright, let’s go to the F-35, our display can be very bright, 17,000 nits, et cetera, for the Monochrome Green that’s in there today. And the reason our display is replacing LCD is because of the contrast is terrific. I’ll just mention that that display has the ability to go very low brightness because the pilot is flying at night and he wants to see very low light images so that he can see the rest outside literally, so it’s an AR device and it’s going to be very bright. And it’s got to have high contrast on either end of that. And if I remember back to a meeting that we had, it was a military conference, there was another display manufacturer, said their brightness which was about – I don’t know – a third of our brightness and at a very high luminance that they could get, which was a third or ours, their contrast ratio was 5,000 to 1 and ours was 10x that. So that’s why the military comes to us. Our display technology is better today and we’re the ones developing the direct patterning for us so that we can get that high brightness, high contrast, high power efficiency on full color. Nobody else has demonstrated that. And by the way, that same full color, of course, the consumer doesn’t want Monochrome Green, but that full color brightness is really needed for both AR and VR. And that’s why the consumer companies talk to us.
Unidentified Analyst: Are you making any inroads into the augmented reality in the military?
Andrew Sculley: Sure.
Unidentified Analyst: And I guess I’m kind of hinting towards a particular large military program on the horizon.
Andrew Sculley: Okay. So I’ll give you just an example that I can say something about. The F-35 is augmented reality, you know that. It’s two displays above the head of the pilot reflecting of the visor in the front. So it’s like your BMW – I don’t drive one by the way, but your BMW has a heads-up display. And I don’t know you drive one either. So the heads-up display, you have to be able to see the road and everything else and you see the image on the bottom of the windshield; same thing for the F-35 pilot. And – go ahead.
Mark Koch: In our display also what Andrew was alluding to earlier is we’re talking to the players in the family of weapon sight individual which would be the system where a gun site would communicate wirelessly with the goggles allowing rapid target acquisition to literally shoot from the hip or shoot around corners. And that display in the goggle would also display battlefield information. So that’s part of our participation in the augmented reality as well.
Unidentified Analyst: Okay. I’m glad you mentioned the FWS program. Can you give us a status – are you guys in the FWS, and what specifically? Are you in the FWS-Crew Served individual?
Andrew Sculley: We’re talking to a number of major players in that program. So we’re talking to them about using our displays and using for the new squad rifle as well.
Unidentified Analyst: But you’re currently not manufacturing for any of those programs?
Andrew Sculley: Not currently for the FWS-I. That’s still getting underway.
Unidentified Analyst: Okay. I’d like to switch gears over to the new design win for the consumer company and I understand that you probably can’t tell me too much, but I wanted to ask is it a higher resolution than the other consumer display or can you tell me is it still the advanced backplane that you’re doing? I guess, is there similarities between the two consumer designs that you can leverage? I’m worried that this new consumer design win I hope it’s not going to take as long as the other one, which I think is going on three years now.
Andrew Sculley: Yes, this one is – certainly we can leverage any design we’ve done. And the other one, because it’s high resolution, et cetera, we can leverage that. So we are doing that. And there’s a goal to get it done soon. So we believe that’s the case. And a long time ago we’ve recommended to a number of companies, maybe all the ones you can imagine both in the U.S. and abroad, a particular type of design and that’s what’s being done. And the particular type of design had two features. One is lower cost and very importantly lower power. That was our idea.
Unidentified Analyst: That’s still a multiyear effort.
Andrew Sculley: Well, I think they’re saying it will take many years, so multi-years not many is the headset itself. These companies want to get this right. So you can’t just get the display and send it out there. I know some companies have done such a thing. But companies we work with will not.
Unidentified Analyst: And as far as consumer revenue goes, can you give us – do you think within five years or within two years or three years? Is there any kind of timeline you can give us?
Andrew Sculley: Yes, I can’t tell you that. It depends on what happens with the company, but you can search the Internet and people have made comments about when they’re coming out with things. Some of them were – for example, an internal meeting that leaked somehow and you can find that on the Internet. There’s a very big company whose stuff is leaked out. That gives you a timing. So five years, by the way, 2025, I think the market will be – all indications and this isn’t my estimate although we can estimate ourselves if you go out and look at some of the companies that do estimates of how big the market will be in 2025, it will be a significant market. That’s what the market research firms say. And I have no reason not to believe that. Therefore, it has to start before 2025, so five years is a long time.
Unidentified Analyst: Can you give us a status on the ATM if you’ve been able to raise any capital through that so far this year?
Mark Koch: John, from the inception in November of '19, we’ve raised approximately 1.7 million under the ATM.
Unidentified Analyst: Thank you. And then for my last question, I’ll just wrap it up here, can you give us any status on either government funding or potential manufacture deal inroads that you’ve made?
Andrew Sculley: I think we’ve talked about a mass production manufacturer for the consumer market, we talked about easier going hand-in-hand with a consumer company, so that’s what we’re pursuing now. And government funding, we are still working very hard on capital funding and it still looks good, but the government is slow. Maybe they are also thinking about other things right now. And we are looking for – by the way as I mentioned on the call itself earlier that we are looking for funding for 25,000 nits for color and that could come from multiple sources and that looks pretty good too. So that’s R&D funding as opposed to capital. When we mentioned Title 3, et cetera, was capital funding for some of replacement equipment or additional equipment I should say.
Unidentified Analyst: Okay. Thanks for entertaining my questions. I appreciate it.
Andrew Sculley: No problem, John. Thank you.
Mark Koch: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back to Andrew Sculley for any closing remarks.
Andrew Sculley: Thank you, Andrew. In closing, I just want to thank our employees for making our achievements possible through their teamwork and dedicated efforts. The work that we have done in throughput yield improvement by combining the R&D with the manufacturing and also putting the three groups, including product development as a synergistic effort, that has been very successful in the second half of last year and continues to be successful today. The other very great advantage is we’ve spurred the great creativity, so the creativity with new ideas on how to improve processes, et cetera, actually will pay dividends in the future. And so it’s very important. And we’ve leveraged these improvements. We’re focused on continuous improvement and enhancement performance and I’m confident that we’re going to continue to show that going forward. I want to thank everybody for their time today. I look forward to updating you after the first quarter. Thank you folks very much.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.